Operator: Greetings. Welcome to the Orion Engineered Carbons First Quarter 2020 Earnings Call. [Operator Instructions]. As a reminder, this conference is being recorded.I will now turn the conference over to Windy Wilson, Head of Investor Relations and Corporate Communications. Thank you. You may begin.
Wendy Wilson: Thank you operator. Good morning, everyone, and welcome to Orion Engineered Carbons conference call to discuss our first quarter 2019 financial results.I'm Wendy Wilson, Head of Investor Relations and Corporate Communication. With us today are Corning Painter, Chief Executive Officer; and Lorin Crenshaw, Chief Financial Officer.We issued our earnings press release after the market closed yesterday and have posted a slide presentation to the Investor Relations portion of our website. We will be referencing this presentation during the call.Before we begin, I would like to remind you that some of the comments made on today's call are forward-looking statements. These statements are subject to the risks and uncertainties as described in the company's filings with the SEC. Actual results may differ materially from those described during the call. In addition, all forward-looking statements are made as of today, May 8, and the company does not undertake to update any forward-looking statements based on new circumstances or revised expectations.Also, non-GAAP financial measures discussed during this call are reconciled to the most directly comparable GAAP measures in the table attached to our press release.I will now turn the call over to Corning Painter.
Corning Painter: Good morning everyone and thank you for joining us for our first quarter 2020 earnings conference call. Thank you Windy and once again welcome to Orion. Windy brings a wealth of investor relations and communications experience from the vantage point of several different firms over the course of her 25 year career. We are excited to have her joined the Orion team as a thought partner to Lorin and to me as well as a partner to each investor and analysts who is interested in understanding our fundaments and the strategies to drive shareholder value.First a big thank you to our people for their commitment and discipline during these challenging times. With their leadership and dedication we have been able to operate all of our plans through the quarter in excellent form including those in China, Korea, Italy, America; everywhere. Our people know their work is important and that our customers and investors count on us to deliver every day. Not only have our people been reporting to work but they have been disciplined. Across the work force of more than 1,400 people on five continents we have had no employee to employee contingent. In our plants at times when production slowed union and non-union colleagues have worked in the spirit of team work, trust and with great flexibility in terms of jobs descriptions.Together we are striving not just to get through this but to built a better Orion. We had an excellent Q1 until the second half of March when the impact of COVID-19 hit our European and American customers. on today's call, Lorin and I will cover the Q1 results as always but also devote time to three additional topics; our operational response to COVID-19, how we expect our business to develop from here and our liquidity which I believe you all agree is more than ample. As always we will be happy to take your questions at the conclusion of our comments.As I said the first quarter started off with the positive sequential tone that we expected. Q4 had been especially seasonally weak including we believe a customer inventory draw down in late September that was followed by an uptake in January. However, in mid-March we saw a rash of order cancellations from tire manufacturers globally particularly in north America and Europe as our customers began shutting and slowing plants as the impact of COVID-19 grew. As a result our March results dipped sharply mid month and the sheer scope scale and speed of the downturn caused by COVID-19 began to bite.Overall, we estimate the first quarter impact of COVID confining the volume impacts and inventory revaluation impacts to have been in the range of $7 million to $8 million, which gives you a sense of the way the quarter may have ended up excluding the COVID related impacts. Despite these headwinds we delivered adjusted EBITDA of $63.8 million of which rubber carbon black contributed $35.8 million and specialty carbon black contributed $28.1 million. Our liquidity position stands at $283 million and Lorin will have a lot more to say about that.With that said I'd now like to shift gears and update you on the actions Orion has taken in the phase of the COVID-19 pandemic and what we are seeing operationally through April. When COVID-19 was still largely seen as a Chinese phenomenon we swiftly activated our business continuity plan for pandemics, which was based partially on the World Health Organization pandemic preparedness plan. The values we established [indiscernible] last year were another bedrock for us as we took action. I'm going to explain our actions across the six core pillars detailed on Slide 4.People; most important pillar is protecting our people and our first actions were to secure their safety and health. In practical terms we secured and distributed personal protective equipments such as masks, segregated shifts and work team, implemented temperature checks, steps of cleaning protocols, shifted canteen arrangements, secured expert consulting physician and a big thanks to them as well, shifted to remote working for office based people and massively stepped-up employee communications with an emphasis on straight talk.It is a testament to the discipline of our employees and the overall disaster readiness that thus far we currently are aware of only two employees out of a total of 1,400 who have tested positive for the virus neither whom have required hospitalization.Looking forward we will follow governmental and WHO guidelines as we slowly bring employees back into offices establishing new protocols and maintaining physical distancing in order to continue to keep our employees safe. Moving to production. The first you can't operate a plant without people and we work hard to maintain safe plants and I'm proud to say our people continue to get their job done that is ultra important right now.Next we have multiple reactors at all of our plants and in the normal course of business we modulate these up and down according to demand and maintenance needs while at the same time continuing shipping operations. As you can imagine, we've been doing a lot of modulating recently in response to customers. I want to be clear, individual reactors have only been down in response to declines in demand that is we have not proactively shut down plants due to manpower. At several plants from the U.S. when production rates were low we work collaboratively with union leaders and workers to achieve great flexibility in terms of roles and responsibilities across the labor pool allowing us to use this downtime to advance projects that focus on enhancing safety and reliability of our plants. Yes this has meant higher cash consumption than laying people off but as you will see we have the financial flexibility to take this opportunity to build loyalty and to make plant improvements with a view towards emerging from this downturn even stronger.Moving to customers. Many of our customers, particularly tire customers idled their manufacturing facilities. In April, we estimate roughly 90% of North Americas and 75% of Europe's tire factories were idled or severely curtailed with plans to slowly begin production at reduced rates in May and June with auto OEM manufacturing plants on a similar schedule.Against this backdrop, in April Orion's plants operated in the mid 40s in the Americas and Europe and in the mid-50s in Asia. I will discuss the outlook for our business later, however in April we saw rubber volume demand down approximately 60% in the Americas and EMEA with Asia down approximately 34%. We've stayed in close communication with our customers to ensure good communication and coordinate transportation specific issues as well as monitoring customer plan operating levels.Financial. From a financial perspective in late March we enhanced our financial flexibility by suspending our dividend and bolstering our cash position by drawing on our revolver. In recent weeks, we tapped nearly the entire capacity under our uncommitted lines of credit bolstering our cash position by approximately a further $40 million to eliminate any funding risk under these lines.Over the past several weeks we have evaluated our liquidity including financial covenants against a wide range of scenarios and stress tests. We've also taken cost actions that will increase our cash generation over the coming 12 months including salary freezes, reduced discretionary spending across all businesses and functions, lower incentive compensation accruals, select headcount reductions and temporary layoffs.We estimate the annual impact of these actions to be in the range of $10 million to $15 million excluding actions like temporary layoffs. Aside from cost reductions we've also deferred select capital expenditures and our lowering safety stock levels were appropriate and stepping up the monitoring of customers and suppliers to protect our balance sheet while holding the line on terms.Supply chain. From a supply chain perspective the key message is that we believe we have adequate access to raw materials supplies at all our plans for the foreseeable future. We continue to track those markets very closely. Beyond that we are tightly monitoring our other supply chains particularly for consumables and international shipping availability.We've qualified alternative suppliers as needed. We'll need to stay close to this and more generally speaking I believe international shipping will be a point of friction for the global economy in the coming months.Communities and ESG. During this time we have not forgotten what we could do to help our neighbors in the communities in which we operate. We have supported hospitals and other medical providers with masks and cleaning equipment at several sites where we operate and lastly we have continued to focus on and keep momentum going in ESG. We recently received notice that our EcoVadis score improved this last year by 10 points to a score of 62. While this continues to place us in the silver category 45-64, the significant improvement last year is a sign that we are on the right track. This increase is a testament to the dedicated effort of our entire team and their focus on operating the company in a socially and environmentally responsible fashion. I'm very proud of the progress that has been made.Moving to Slide 5. Now I'd like to shed light on what we are seeing through April and looking further out which indicators we will be looking towards for signs regarding the likely pace and shape of our recovery. Slide 5 provides perspective on what we are seeing around the world and is not a pretty picture. With a large percentage of customer plants being idled particularly in North America and Europe.Rubber volume demand declined between approximately 68% and 34% and specialty volume declined approximately 38% and 8% depending upon the geography. Under these conditions we operate the reactors in campaign mode up running to build inventory and then idling the reactors while we continue to ship. We have had to lay off employees at one location so far.As you can see from a rubber perspective the trends in North America and EMEA resemble one another pretty closely whereas declines in APAC were significant but more muted reflecting that most of our exposure is in Korea which has navigated the pandemic quite well. As a comparison the single worst quarter rubber experience during the 2009 financial downturn from a volume perspective was 33% evidencing that the results of 2009 may not prove a useful or accurate predictor of the current situation.Also noteworthy on that slide is the relative strength of specialty. Certainly specialty benefits from a greater market diversity than rubber and many of its markets are not quite as directly impacted by the physical distancing restrictions that cause miles driven in light vehicle sales to come to a screeching halt. However, we believe specialty volume will get worse before they get better because of continuing softening in demand. To place the April trends in a bit of context the single worst quarter specialty experienced during the 2009 financial downturn from a volume perspective was 34%. I think we need to be prepared for it to be deeper this time.Let me say again, that the experience of our business during the 2009 period may not prove a useful or accurate predictor of the future or the magnitude of the impending 2020 decline and they do not represent guidance in any way. We are sharing this data to provide perspective as Orion was not public in 2009. So this information would not otherwise be available to investors.Turning to Slide 6. We provide an overview of our two global business units by end market. Our sense of the recoveries prospects for each and some signposts to watch along the way. Keep in mind the business environment is very uncertain. That said here is one way it could play out.Starting with rubber as a reminder approximately 90% of this market segments volumes are driven by the automotive end market. Roughly 60% of rubber carbon black goes into replacement tires demand for which is linked to miles driven. The balance goes to the OEM and market as tires or MRG demand for which you can largely trace to global truck and light vehicle sales. First of all, certain aspects of the economy held up better than others such as home delivery. Truck tires have been fairly resilient and we believe this will only strengthen. Secondly, passenger cars are not cruise ships. People are not afraid to get into their car. Driving by car, I believe will be the preferred transportation mode and tires will wear out and need to be replaced. To this end in a recent Financial Times article the first economic indicator to fully recover in China is traffic congestion.Thirdly, household purchases of new cars will certainly be depressed in the likely event of a recession but new car sales are unlikely to be as weak as they have been recently. Longer term we don't believe the underlying growth in demand for rubber carbon black has changed as a result of the current downturn. With motor vehicle production, miles driven and automobile servicing likely to continue supporting growth and demand within the tire and non-tire markets in line with a 3% rate this business has reliably delivered on average over long periods of time once the current downturn has subsided.Turning to specialty. In the past we have indicated that roughly 25% of this business is driven by global automobile OE production and new vehicle sales. However, upon refreshing our assessment of volume by end market at a more granular level we now estimate this number to be in the order of 15%. The remaining 85% being driven by a diverse mix of end markets ranging from engineering plastics and pipe to films, wire and cable, adhesives and synthetic fibers. Clearly the automotive segment will see a sharp decline in the second quarter volumes and for the full year.Also of note is that roughly 10% of specialty volume serve the pipe end market of which a substantial portion ultimately ends up in the oil and gas space. Given the severe strain that sector is under right now a steep decline in oil and gas infrastructure spending is expected with a corresponding impact on this part of the business.As far as pockets of strength I would point to certain film applications such as food-grade that have held up relatively well. Longer term with the possible exception of pipe into the oil and gas space we don't think the underlying growth and demand for specialty carbon black will change as a result of the current downturn. We still expect consumer spending on durables and non-durables, construction activity, infrastructure investment and automotive bills should allow this business to continue growing in the 3% range in line with its growth rate over the past decade once the current downturn has subsided.Now turning to our first quarter results in greater detail. As you can see on Slide 7 adjusted EBITDA declined by $800,000 year-over-year. Price and mix were favorable for us while volume was the primary offsetting factor. Within specialty, the year-over-year decline volumetrically was driven primarily by our two largest sales regions North America and Europe. As far as underlying end markets year-over-year weakness was broadly and evenly widespread across all end markets; coatings, polymers, printing. Within rubber, volumes were down year-over-year but flat sequentially on both the MRG and the tire side of the business.The year-over-year decline reflected one lower volumes due to a deliberate commercial strategy as part of the 2019 contract negotiations to emphasize raising pricing closer to reinvestment levers over volume. Two, weak automotive OE demand trends impacting MRG and three order cancellations from tire makers late in the quarter reflecting a pullback entire production in all geographies as tire production facilities commenced shutdowns due to COVID-19.With that I'd like to turn the call over to Lorin.
Lorin Crenshaw: Thank you very much Corning. Now turning to Slide 8, volumes were down by 10.5% year-over-year and slightly up sequentially in line with the trends mentioned earlier, while adjusted EBITDA came in at $63.8 million, basic EPS at $0.30 and adjusted EPS at $0.44. Contribution margin per ton improved year-over-year due to positive customer mix and favorable feedstock cost development within specialty and base price increases within rubber.Cash from operations was $4.9 million with working capital up $38 million mainly due to higher sales and therefore accounts receivables which is a good thing on an underlying basis but will now reverse given the current economic conditions.For reference, during the fourth quarter working capital with a benefit of $51 million driven by lower accounts receivables given the seasonally weak sales levels we saw at that time. We expect working capital to result in a cash windfall of over $50 million during the current quarter due to lower oil prices and sales providing an offset to the expected significant sequential decline in adjusted EBITDA. Of course the ultimate size of the working capital benefit will depend on volume and price development through the balance of the quarter.Slide 9 explains the drivers behind contribution margin, adjusted EBITDA and net income in detail. Starting at the upper left-hand side contribution margin declined 3% year-over-year as the favorable impact of base price improvement across both the rubber and specialty segments and favorable mix and specialty was eroded by a combination of lower volumes and FX.From an adjusted EBITDA perspective lower contribution margin and higher fixed costs were partially offset by the favorable impact of FX on fixed costs and lower S&A during the quarter resulting in a decline of 1.1% to $63.8 million. The key driver of the decrease in S&A was lower compensation costs compared with the prior year's first quarter.Notably adjusted EBITDA includes an impact of roughly $3 million related to inventory impairments resulting from the combination of the sharp decline in oil prices and an abrupt reduction in our customer’s forecasted demand. As a result, our earnings were reduced to reflect the fact that sales of inventory purchased at higher prices will occur in future months at lower than expected prices. This dynamic will also impact the second quarter.Finally net income decreased $1 million to $18 million or 5.2% year-over-year due to lower adjusted EBITDA and higher financing costs mainly related to an unfavorable FX impact partially offset by lower taxes.Now turning to Slide 10, you see the development of our cash flow during the first quarter. We generated $4.9 million in cash from operating activities which again includes a net working capital head wind of $38 million. We spent approximately $50 million of CapEx in the quarter, a heavy amount reflecting the timing of payments related to executing projects underway. We expect the first quarter will be the highest CapEx spend all year. Finally we borrowed $110 million during the quarter of which roughly $45 million reflected the previously announced proactive step taken to bolster our cash position by drawing on our revolver.Using Slide 11, I am going to explain mechanics of our credit agreement with emphasis on how our financial covenant works and the wide latitude it provides to manage through the current economic storm. We ended the first quarter with net leverage of around 2.5 times, at that level we are at the upper end of our steady-state targeted range of 2 to 2.5 times. While that stated range remains relevant during normal economic times, during this pandemic we are going to exceed it starting with our second quarter reported results. In doing so we will use the flexibility provided by our credit facility not just to get through this period but to get through it in good shape.Our one financial covenant is summarized in the appendix on Slide 20. That covenant is a net leveraged test of 5.5 times trailing 12 months EBITDA but is only relevant if total debt drawn under our revolvers exceeds 35% as defined in the credit agreement.Importantly, not all debt counts towards that 35% trigger. Term debt, debt drawn under ancillary lines and under our uncommitted local lines are all excluded; because the ancillary lines are bilateral in nature that is they've been established one-on-one with individual banks in the revolver bank route but are not classic pro rata borrowings across the bank route. Borrowings under ancillary lines reduce availability under our revolver but do not count towards the 35% trigger. This is a very attractive feature of our credit agreement and one that gives us comfort that we have flexibility to manage the current situation from a balance sheet perspective.As a result of this feature right now we can borrow roughly 87% of our revolver capacity, split 35% as classic pro rata style borrowings and 52% under ancillary lines that we have established without violating the financial covenant. And this is true at any adjusted EBITDA level one imagines. Translating that 87% into numbers at first quarter exchange rates are[€250] million revolver equal to approximately 274 million of total capacity of which 87 % or 238 million could be drawn without violating our financial covenant.The chart in the lower right hand quadrant of Slide 11 answers the question what financial firepower can Orion access without violating its covenant at any adjusted EBITDA level. The answer as of the end of the first quarter was 247 million comprised of 107 million in cash and 140 million in incremental debt. Keep in mind that on top of that 247 million with all prices dramatically lower and the economy slower we expect the meaningful working capital release in the second quarter.The final point I want to make on this slide is that our debt maturity profile is such that we have no refinancing requirements over the next three years which is a strong position to be in as we approach the coming downturn.Slide 12 shows that 247 million of liquidity a slightly different way, detailing the mix of our current debt stack and what the entire liquidity stack would look like on a pro forma basis where we to access the full 247 million.And closing out the topic of liquidity let me simply say that there are a wide range of opinions out there regarding how challenging things may get over the next several quarters. One group, Notch Consulting recently published scenarios for the overall industry ranging from a worst-case 37% full-year decline in global demand with a 60% peak decline in the second quarter to a best-case 11% full-year decline in global demand with a 35% peak decline in the second quarter.Our scenario planning across a wide range of downside cases indicates that the $247 million of liquidity that we can access without triggering any covenant will prove sufficient to cover our liquidity needs for quite some time. This flexibility combined with the absence of any significant debt maturities until 2024 allows us to be confident in our ability to weather this downturn.Moving to Slide 13, our quarterly specialty volumes were down year-over-year for the reasons I discussed earlier. Geographically, North America, Europe and Asia [ex-china] where the primary sources of weakness with each of our core in markets impacted such as polymer, film, wire and cable and ink.From a profitability perspective, gross profits per ton rose 5.2% reflecting a combination of favorable mix and price. The price element of the increase is notable and a good signal. However, given that great mix, energy sells, FX and the timing of feedstock pass-throughs are so dynamic and difficult to predict quarter-to-quarter, the trailing 12-months trend is a better measure. On that basis gross profit per ton is essentially flat sequentially.The next slide breaks out the major year-over-year drivers of adjusted EBITDA with positive price and mix primarily offset by volume.Turning to Slide 15, rubber volumes were down 11.1% year-over-year and flat sequentially reflecting the factors mentioned earlier with the strong tone to the quarter being arrested in mid-March by COVID-19 related dynamics causing order cancellations globally late in the quarter. Gross profit per metric ton was flat year-over-year as higher base prices were primarily offset by unfavorable FX and lower energy sales. Slide 16 shows the development of adjusted EBITDA with the significant positive price offset by lower sales volumes.With that I will turn the call back over to Corning.
Corning Painter: Thanks Lorin. Moving to Slide 17 as you know in March we withdrew our 2020 guidance in light of all the uncertainties caused by COVID-19. However, we want to provide some information that we believe will be helpful for investors in developing financials areas for the balance of the year. We're happy to answer any questions regarding any of the assumptions detailed on that slide. However, I'd like to use this time to discuss CapEx and the impact of oil on working capital and EBITDA.We have lowered our CapEx spending expectations from a range of $130 million to $150 million to $120 million to $130 million. This reduction reflects the reality that physical distancing mandates in connection with COVID-19 impact our ability to advance complex capital projects requiring heavy staffing whether they be growth orientated efforts such as expanding capacity at Ravenna or sustainability enhancing efforts such as the EPA mandated work at Ivanhoe.Regarding EPA orientated work we are committed to advancing these projects where possible while continuing to adhere to the physical distancing and safe work requirements of each state. I'm thrilled to confirm that we remain on track to complete the work at our Orange site in May advance of the June 30th deadline under the consent decree despite the challenges. I would like to congratulate the orange project team, the plant team and our contractors for working cooperatively and overcoming many obstacles to get us here.It helped that the Orange project was far enough along that we could finish the work without needing large numbers of contractors on site. However, at Ivanhoe we are in the construction phase and safety and physical distancing challenges have been more impactful. Of course if we can do more in Ivanhoe we will, upon receiving Force Majeure declarations for numerous suppliers in recent weeks we officially declared Force Majeure to the EPA and are currently in discussions regarding a path forward in the phase of the extraordinary challenges we currently must contend with.Overall despite our efforts we do not expect to spend as much EPA related capital as previously anticipated in 2020 and this is one driver behind $15 million reduction to our forecasted capital spend. Before leaving the topic of capital spending, I also want to refresh our current estimate of the impact of the overall EPA spend.We have certain technology choices to make with regard to the remaining two plants and are currently awaiting a stage two front end loading quality design estimate that should be completed during the current quarter. When that study is done it will represent the most robust estimate we have had to date of the overall cost of the EPA spending.We will update investors again at our second quarter earnings call in August. However, we know enough to say now that the range for this estimate is likely to be in the neighborhood of $230 million to $270 million with the midpoint being approximately $250 million, which is up substantially compared to our last estimate of $190 million.This is due amongst other things two additional abatement equipment being required at one of the remaining sites and a higher cost surrounding the implementation of equipment at Ivanhoe. Of that $250 million midpoint we expect that around $115 million or 45% would have been spent between 2018 and 2020 year end with the remaining $135 million balance expected to spread between 2021 and 2023 or early even 2024.Once again the numbers are not yet at stage two front and loading precision. However, we have more confidence in this estimate going forward and again we'll update investors with a range during our second quarter earnings call in August.Turning to oil prices. Given the extreme volatility we have seen year to-date I would like to provide more detail and clarity on the impact of changes in oil prices on our business from both a working capital and EBITDA perspective. As we have said in the past we estimate the impact on working capital of a $10 change in the feedstock to be in the order of $27 million to $30 million over a three or four months period during the normal business conditions.This estimate will vary at different points of the economic cycle. When accounts receivable and inventories are lower the impact on working capital of oil prices will be somewhat lower and vice-versa. However, this estimate is directionally accurate in a reasonable proxy.Regarding the impact on EBITDA when oil prices all our EBITDA falls and vice-versa. There are several factors in play that drive this dynamic. First is the way the terms of our supply and sales contracts interact for contracted volumes which tends to benefit us when prices rise and vice-versa when they fall. This impact persists notionally until the next contract period when there is an opportunity to reset overall profitability. The second factor particularly during periods of extreme price volatility is inventory revaluations which are unfavorable when prices fall and favorable when they rise. Thus exceptional gains and losses are not included in this [indiscernible].A third factor in play is that a meaningful portion of our volumes are not under contract and do not require us to pass along our feedstock cost at all. As a result when prices decline we enjoy the benefit for a period of time and vice versa when prices rise.With these complexities in mind we have refined our estimated impact of a given change in oil prices on EBITDA.Previously we base this on a percentage change in our feedstocks. We have shifted this rubric away from percentages because 1% of a $100 is very different from 1% of $50 for example. Instead we are now stating the impact in terms of a dollar change in the 12-month average feedstock cost. On that basis we expect every $1 change in a 12-month average feedstock cost to impact adjusted EBITDA by $700,000 to $1 million.This revised approach suggests a less severe impact from oil than our previous version. For instance a change in our 12-month average feedstock cost from $65 to $35 would amount to an estimated EBITDA impact between $25 million and $35 million under the new approach versus $54 million under the prior approach.Keep in mind as a caveat that this estimate will vary at different points in the business cycle with a larger impact when volumes are higher. It also does not consider extraordinary impacts such as impairments such as we've experienced in the first quarter and will again in the second quarter. Overall this proxy is a useful tool to understand the impact of oil on our business over time and under normal business conditions. Before closing I'd like to invite investors and analysts to review our inaugural proxy which we filed last week. It's an important milestone in our evolution from a foreign domestic filing company to a domestic filing company providing a level of disclosure and transparency that aligns us with the universe of comparable U.S. companies against which we compete for investors support and capital.We're thrilled to provide a step change increase in perspective to our stakeholders in terms of our overall governance. Upon reviewing the proxy you will notice that at our Annual General Meeting we are proposing a slate of board members that includes three new independent members; Ms. Mary Lindsay, Dr. Yi Hyon Paik and Mr. Michael Wurth while two existing board members Mr. Jack Clem and Mr. Jean Pierre Faber will not stand for re-election.The experience, skills and backgrounds of each nominee are detailed in the proxy so I would invite you to review the proxy rather than try to quickly summarize their backgrounds at this time.However, I would like to thank Jack for his vision, leadership and on a personal level for his ongoing support to me. I would also like to thank Mark for his support to the company both as a board member and by acting as our Class B [daily] manager.Going forward the collective skills experiences and independence of our board will be as strong as they have ever been since going public, no stones to be left unturned as we strive to soldier through this downturn and emerge stronger on the other side. Publishing our inaugural proxy and refreshing our board are two important steps on that journey. In closing I'd like to leave you with four thoughts; first our key markets are going to emerge from this stronger so people may delay buying cars in a recession but cars where you can drive your family safely from point to point are not going out of style. Second, the majority of our rubber carbon black goes to replacement tires not new cars. Third we have the liquidity we need to get through this in good form and forth our people are committed. They've proven this and with commitment great things are possible.Finally I'd like to thank Diana Dowling for a roughly eight years of service to Orion in various financial roles and most recently as VP of Investor Relations and insurance. Diana you've been a vital link between Orion and our investors. You saw us through the IPO, financial reporting and leadership changes. Thank you for everything. We wish you the very best.Operator, please open up the line for questions.
Operator: Yes. [Operator Instructions] Our first question is from Joshua Spector with UBS. Please proceed.
Joshua Spector: Hey everyone. I'm glad to hear that everyone sounds well. So just to go into the oil sensitivity first I appreciate the updated disclosure and kind of reframing how you give that that's helpful. In your example you talked about a $30 decline in feedstocks 25 million to 35 million decline in EBITDA. Can you just talk about in a generic scenario how that impacts the different segments differently?
Corning Painter: Okay. So first let me just say that I misspoke there. A $30 drop in it is times 0.7 you'd actually get to 21 or $21 million to $30 million for the actual impact on that so that's going to be an impact though that's going to hit us basically volumetrically as we use oil and notionally speaking that's going to then be just spread out evenly across the segments.
Joshua Spector: Then you would expect a larger impact in the rubber segment versus specialty or you'd expect it to be more even?
Corning Painter: Yes. that number is a net of the favorable effects on specialty offset by the negative effects on rubber and so on balance its $20 million to $30 million but because the specialties business is less contracted it would benefit from lower prices for a period of time and so that is a net effect and so the specialties impact would be on balance favorable offset by the rubber and so that's lead.
Joshua Spector: Okay. Thanks and then just in terms of the April numbers that you provided within specialty I mean North America was showing down a lot more than Europe. Can you just comment on why that large difference if there's anything we should think about behind that?
Corning Painter: Well I think part of what's been an element of specialty in North America has been oil patch activity much more so than Europe. So that would be an example of where things are different from the US and from Europe. I'd also say that there's a number of different economies in Europe and I don't think all of them have been impacted to the same extent the US is at this point.
Joshua Spector: Okay. Thanks.
Operator: Our next question is from Michael Leithead with Barclays. Please proceed.
Michael Leithead: Thanks guys and good morning and Wendy welcome to the team. I guess first I wanted to start with the EPA CapEx change. Three things on that. One, how does that change your 2021 expected spend for the project. Two, between this and the pandemic has that change your conversations with the EPA and three, does this change at all your calculus in your ongoing discussions with Evonik.
Corning Painter: Okay. So let me take those not necessarily directly in order. So we are at this point giving out guidance for next year and what we're going to do on capital but obviously with a higher expenditure it's more of a burden into next year and to the sense that we end up shifting capital from this year let's say with Ivanhoe going slower into next year those are impacts or that rollover into 21 at the same time. In terms of Evonik it's really no change whatsoever. So we are clear on. There is ultimately a cap in the agreement that we have with them. We have never disclosed what that is. So we just continue business as is in terms of the EPA we have ongoing discussions with them around what the conditions are at both this side and at orange as well and I think that the situation with COVID-19 is so dynamic that I don't expect to get to like a definitive sort of revised timetable or something like that with the EPA right now. I'd say it's more a matter of keeping them informed with what we're doing and what we see on the ground.
Michael Leithead: Got it. Okay. And then I just want to say we appreciate the granularity you gave us on the April demand data. On the inventory impairment can you just help us with what you expect the impact to be in 2Q and is there expecting to be any drag beyond the second quarter from that?
Corning Painter: The impact in 2Q could be on the order of it could be in the highs, it could be in the $5 million to $10 million range probably more like 10 million or so and could it last beyond that really depends on our inventory turns. When you buy raw materials based on a customer's order you assume a certain inventory turn. Our customers in many instances have abruptly reduced their orders and therefore will be sitting with that inventory for a little while longer than we anticipated. Could it last beyond the second quarter? It's possible but you can see an effect in the second quarter in the $10 million range.
Michael Leithead: Okay. Thank you guys.
Corning Painter: Thank you Mike.
Operator: Our next question is from Kevin Hocevar with Northcoast Research. Please proceed.
Kevin Hocevar: Hey good morning everybody.
Corning Painter: Good morning Kevin.
Kevin Hocevar: I am wondering if you could comment on how should we think of decremental margins here in the second quarter because obviously it seems like volumes are going to be down something fairly sharp and it seems like specialty will probably get some price near-term price cost-benefits. There's this inventory impairment to think about. Curious there's so many moving pieces I mean how should we think of the decremental margins here in the near term with all those pieces?
Corning Painter: Hi Kevin. At a total company level I think you would start in the high 30s for contribution margin and that considers rubber being in the low to mid 30s and specialty in the mid 40s plus. I would not attempt to then inject extraordinary items into that. So I would start with that as a baseline and then later on the $10 million impact from impairment and I think that will be a reasonable approach to take versus changing the classic contribution margin to anticipate extraordinary effects.
Kevin Hocevar: Okay. That's really helpful. And then in terms of the volumes kind of weighed by geography the volumes you outlined in your slides for rubber and specialty. It seems like April was maybe down in the magnitude of 60% for rubber, 25% for specialty and could you give some color on what the order books look like? What do you expect as tire manufacturers start bringing capacity online? When the capacity comes back will it be a, do you expect a sharper improvement in terms of I guess less year-over-year declines but still meaningful or is it going to be very slow ramp and I'm especially side, it sounded like you expect things to get worse before they get better. So curious if you could elaborate on why you expect that to be the case on specialty?
Corning Painter: Okay. So first let me say on rubber. It's a very dynamic situation and it is extraordinarily difficult to get a lot of visibility from our customers. So I think we just have to go into any questions that we're thinking around on that score. Personally I believe that the restarts will be slow and gradual starting with probably more activity on truck tires that kind of things slowly building into consumer tires. I think it's going to take some time to get their supply chains moving as well but that's my personal view on it.Based on our discussions I would say customers are really not able to give a lot of visibility to it. On specialty my view that it's going to get worse before it's going to get better it's just that I think we have to be realistic at times like this and not living on hope and taking the actions appropriate for the real situation on the ground. I think we're going to declare ourselves after the next quarter to be in a technical recession. I think we're going to see the impact of the unemployment rises that we've had and I think that's going to have to have a further impact on the broader economy. That's again a subjective opinion.
Kevin Hocevar: Okay. Great. Thank you very much.
Operator: Our next question is from Jeff Zekauskas with JP Morgan. Please proceed.
Jeff Zekauskas: Thanks very much. In the course of the June quarter given the order decrements or the volume decrements that you're experiencing are you going to have to think about closing various plants that may have financial effects on you or can you continue to operate as you've been operating with this on/off structure?
Corning Painter: Well so in the on/off structure we do have the ability to shut down reactors while continuing to ship and this is a product that customers tend to qualify certain grades, certain materials from certain plants. Does this support our customers? We really need to be able to continue to ship from all of our various sites. So I don't see the likelihood of full stop. South Africa's sort of a different situation because the government is taking a very hard policy towards just sort of shutting everything down but beyond like a specific situation like that I think we're likely to need to be able to continue to ship to support our customers and that's not a huge number of people. So I mean that that's a cost-effective thing to do.
Jeff Zekauskas: Okay. Given the magnitude of volume decreases do you expect to report positive EBIT in June quarter.
Corning Painter: We're just not going for any guidance at this point looking forward.
Jeff Zekauskas: Okay and then lastly with the inventory write downs in the end are those cash effects because you're selling product where you built the inventory at a particular raw material price then the raw material price fell and then you have to sell it. So it eventually translates into a cash negativity. Is that correct or a negative margin on the thing you're selling?
Corning Painter: Yes. That calculation is based off of the new anticipation of lower gross profit on that inventory and so in as much as we will have lower gross profits on the inventory in effect it's a profitability effect.
Jeff Zekauskas: Yes.
Corning Painter: That said though let me say that the spirit of our contracts is that we passed through oil costs and when demand goes down at the same time there is such a big shift in oil prices that expresses the mechanism that we have but we could here work with our customers on mechanism to achieve what the intent is behind these agreements and that's a very important priority to us.
Operator: [Operator Instructions] Our next question is from Laurence Alexander with Jefferies. Please proceed.
Laurence Alexander: Good morning. Two questions. One, can you elaborate on the logistics friction that you alluded at in the beginning? And secondly on the oil sensitivities, how should we think about the path for fixing that? Is it going to be something that is addressed in the next upcoming contract negotiations or is it going to be sort of a motion year fixed?
Corning Painter: Okay. Let me start with the logistics. Today there are quite a number of blank shippings in other words the ship in the end doesn't sail. They didn't have enough loading. They didn't put it on the water. There's also the challenges of ships ports not really functioning in certain parts of the world. India in particular right now. And containers building up at this certain location it's not getting clean, not getting stood up for returns.So all this just creates friction and difficulty in terms of restarting the economy and that's what I mean. I think and that goes into my comment earlier that I think in terms of the broader economy restarting there's going to be these things that have to be worked out before we get to the efficiency and let's say the fully lubricated global economy that we had before this whole thing started. And that's a broad comment I think as Orion we can manage that but just a little color to international logistics at this point.In terms of the contract school we always look for improvements in our contracts. We made a good move this last year on differentials and we'd look to and working with our customers an approach that is a fair and equitable way to handle oil.
Operator: Okay. Our next question is from Jonathan Tanwanteng with CJS Securities. Please proceed.
Jonathan Tanwanteng: Hi good morning guys. I was wondering if you'd be able to disclose the average inventory or average price you pay for oil for barrel in Q1 and what's that kind of trended to in April so far? If you have any color there?
Corning Painter: Yes. We can't share the average price that we paid in Q1 on oil but clearly over the past several weeks has continued to decline more recently it's bounced back but no we can't share that precisely no.
Jonathan Tanwanteng: Okay. Is it fair to say that differentials you've been experiencing has been meaningfully decreased from last year since you've improved the contract terms?
Corning Painter: Our differential pastures are working and they have diminished year-over-year as anticipated. That's right.
Lorin Crenshaw: Well that best to say the differentials that show up in our P&L now different markets different places the actual differential in the marketplace is a different story necessarily but we've been able to pass that through.
Jonathan Tanwanteng: Okay. Got it. And just from the cost reduction standpoint you can mention 10 million to 15 million in your press release in prepared remarks. Is that just over the three remaining quarters or is that an annualized number for the year and kind of what's the split between COGs and S&A?
Corning Painter: That's an annualized number split about 70% compensation oriented and 30% discretionary. I would say 90% of it is S&A and only 10% cost of goods sold by and large because we're running in this agile mode in terms of our plants and the visibility from our customers is not very great. We are not including in that 10 million to 15 million substantial fixed cost reduction. We're managing it month to month, week to week in the agile mode that Corning indicated but it's going to largely be in S&A where you see that benefit over 12 months.
Jonathan Tanwanteng: Got it. Okay and could you share with that kind of months to month expenses expense saving is on the outside of that 10 million to 15 million?
Corning Painter: You see that really depends upon what the loading is on various plants and what the approach we take on that plant is and I'd like to leave that flexible so that when we go and we meet with a plant team, a union, a works council we can be in genuine discussions with them and haven't really sort of promised our way into a corner that there's a certain outcome we need to achieve in that. But clearly as I already said I mean we've had places where we've impacted people and taken costs down as a part of that.
Jonathan Tanwanteng: Got it. Okay. The increased CapEx cost you're talking about for the EPA upgrades is that going to be spread out evenly over that time frame? Kind of help us with the phasing of that and --
Corning Painter: Yes sorry. Some of that let's think about maybe a third of that is going to be in the cost to the Ivanhoe project and so that one is the cost that we'll see this year some of that coming in to next year at this point. The other one we'll have most of the income was actually our last project. So it'll be in the latter part of the overall timeframe.
Jonathan Tanwanteng: Okay. Got it. And then in your discussions with the EPA right now I mean what are these things that are being discussed? Is it merely just passing all information? Is it two way street and the they acknowledge this as an issue? Just kind of give us a flavor as to as to how they're responding to the situation.
Corning Painter: Well, because it's a bilateral discussion I'd like to not go into great detail but EPA put out a general letter which is public in which they basically said to everyone who had filed for Force Majeure or some sort of relief that basically they were instructing you to carry on as is for right now and I think that's a way to understand maybe the generic EPA approach.It's our job to get as much of this done as quickly as we can. It's their job to ensure that and yet there's just certain facts on the ground about the challenge of putting a large number of people in a relatively small space to try to do a lot of construction work. And I'd like to just leave it there and I don't want to put this one way or the other. We work that and you can imagine if I'm in their shoes I'm going to want to understand that you're continuing to do your best on it while at the same time understanding the situation on the ground.
Lorin Crenshaw: And let me just add from a modeling perspective if you take the midpoint 250 by the end of 2020 we expect to have spent roughly half of the total 250. So then you've got 125-130 to spread over three years.
Jonathan Tanwanteng: Got it. Okay thank you. And then finally just one regarding China. I know last quarter you disclosed a new customer they're kind of really pulling up your gross margins there and maybe the volumes a little bit/ I'm wondering if the relative strength there that you saw in the [indiscernible] was due to that one big contractor or was it more of a general I think that's improvement coming out of their lockdown after February that [indiscernible] that you saw?
Corning Painter: Yes. I would say in general it's a broader story in China right now.
Jonathan Tanwanteng: Got it. Thank you.
Corning Painter: You are welcome.
Operator: [Operator Instructions] Our next question is from Christopher Kapsch with Loop Capital Markets. Please proceed.
Christopher Kapsch: Yes. Good morning. so thank you for the new sensitivities and focused on the one on oil. I get that guess estimation over a 12-month period but if you look at obviously that's unprecedented scenario we're all seeing right now, there is an abrupt nature in the price adjustment of oil from call it 60 to 24 whatever in the first quarter alone but during the first quarter if I understood you correctly your gross profits were actually flatfish or maybe even up sequentially. So just to sort to understand that is that just a FIFO sort of accounting benefit there and then I guess would you feel the brunt of that full-year sensitivity in the second quarter given how just abrupt the change in the feedstock cost work? If you can provide any color on that?
Corning Painter: Yes. So we buy on a rolling average basis and so of course we're all watching oil prices and we've done analysis that suggests that Brent by the way is the better one to look at probably a 90% correlation with what we actually buy but because we're buying on a average monthly basis looking backwards there tends to be a bit of a lag effect and we don't have the volatility that you would expect just looking at a screen at the day-to-day prices. No, when you think about that rubric it is calculated based off of volume over a 12-month period of time. So if you then want to look at a particular quarter you would look at it on a pro rata basis.
Lorin Crenshaw: But no wouldn't accelerate it because of recent activity because the rubric is based off of volumes over 12 months and so that's the best way I can explain it.
Christopher Kapsch: Okay but so in the first quarter though there was despite the look sharply lower oil prices you didn't see any degradation in gross profit really. So is that just a near-term cost accounting dynamic?
Corning Painter: Yes. So in the first quarter if we just look back to what we budgeted again there's a lag effect. In January, February based off of the feedstock that we buy it was actually flattish if you look at January, February and it was March where you saw a large year decline. So the first quarter did not see a dramatic reduction. When you look at the weighted average cost of what we actually buy it was more muted until later in the quarter. So I think you'll see more of that in the second quarter.
Christopher Kapsch: Right. Okay. And then on the higher EPA CapEx spending can you just, if you have intelligence on this is your sense that the entire industry is incurring these sort of and I don't really want to characterize them as cost overruns but higher than expected capital expenditures on these projects and the reason I'm asking because clearly part of the commercial conversation you've had with your customers was in terms of the industry and needing deserving an adequate return on these necessary capital expenditures. So just wondering if you have a sense for is it something unique about your facilities that [indiscernible] you're incurring these higher expenditures or is it just the more nature of the remediation efforts in a general sense? Thank you.
Lorin Crenshaw: Yes. thank you Chris. Maybe the easiest and most objective way to answer that is we have one other public competitor US company who's in this same situation that we are and from their filings that we've been able to see we've seen that their costs have gone up considerably from where they originally estimated them as well. So I think in that sense not that we all would brought it I would presume that we're all looking at trying to get a return on a larger number at this point. That said we all make our own pricing decisions and there's no discussions around that.
Corning Painter: So we have any further questions?
Christopher Kapsch: No. That's it for now. Thanks. Catch up with you guys later.
Corning Painter: Okay. Thanks a lot Chris.
Operator: We have reached the end of our question-and-answer session. I would now like to turn the call back over to Corning for closing remarks.
Corning Painter: Well thank you all for making your time to be with us today. We appreciate it and we appreciate your interest and support for Orion in these very challenging times. I wish you all to remain keeping physically distant and keeping yourself safe and we look forward to following up with you. Thank you very much.
Operator: Thank you. This does today's conference. You may disconnect your lines at this time and have a wonderful day.